Operator: Good afternoon, and welcome to the Enthusiast Gaming Fiscal First Quarter 2023 Financial Results Conference Call. [Operator Instructions]. I would now like to turn the conference over to Mr. Matt Chesler, Investor Relations. Please go ahead.
Matthew Chesler: Thank you, Darcy. Good afternoon, everyone, and welcome to the Enthusiast Gaming First Quarter 2023 Conference Results Call. My name is Matt Chesler of FNK IR, and we've recently been retained by Enthusiast Gaming to serve as Investor Relations Counsel.  With me today is our Chief Executive Officer, Nick Brien; and our Chief Financial Officer, Alex Macdonald. We'll begin with some prepared remarks from Nick and Alex and then open the floor to questions.  But before we begin, I'd like to remind everyone that today's presentation contains forward-looking information that involves known and unknown risks and uncertainties and other factors that could cause actual events to differ materially from current expectations. These statements should not be read as assurances of future performance or results. Such statements involve known and unknown risks, uncertainties and other factors that may cause actual results, performance or achievements to be materially different from those implied by such statements.  A more complete discussion of the risks and uncertainties facing the company appear in the company's management discussion and analysis for the 3-month period ending March 31, 2023, which are available under the company's profile on SEDAR and EDGAR as well as on the company's website, enthusiastgaming.com.  You're cautioned not to place undue reliance on these forward-looking statements, which speak only as of the date of this presentation. The company disclaims any intention or obligation, except to the extent required by law, to update and revise any forward-looking statements as a result of new information, future events or for any other reason.  And now I'd like to turn the call over to Nick Brien, CEO of Enthusiast Gaming. Take it away, Nick.
Nicolas Brien: Thanks, Matt. Thank you very much. I joined Enthusiast Gaming as the Chief Executive Officer, as I like to say, the Chief Enthusiast Officer, on March 1. Very shortly thereafter, I conducted my first earnings call, and now just several weeks later, I have a great deal to share with you. My excitement to join Enthusiast Gaming at this critical point in its evolution has only grown in the 2.5 months since I joined the company.  We have a remarkable business with many outstanding assets operating across every aspect of the gaming media and entertainment ecosystem. We have a highly engaged and scaled audience of nearly 15 million monthly average users according to Comscore, the largest audience of gamers ahead of Twitch and Roblox as well as a talented management team with deep gaming expertise and a truly massive opportunity to lead in one of the most exciting yet underdeveloped sectors of marketing today. Even as brands and advertisers continue to deal with certain economic uncertainty that are increasingly shifting more of their campaign dollars to innovative marketing environment to offer them opportunities to reach the elusive Gen Z and millennial audiences with higher creative impact and proven ROI.  With all these strengths and catalysts, it's now about driving the rapid transformation of Enthusiast Gaming from a collection of entrepreneurial assets to an enterprise-scale platform company that is tech-enabled, data-driven and content-led. We are implementing a strategic growth plan that puts all of these pieces together to position Enthusiast Gaming as the leading independent gaming, media and entertainment company. Our goal is to create a more profitable revenue flywheel that better leverages our highly engaged communities across our diversified gaming assets, from casual games to esports, the gaming community sites to create the channels, the talent management for Web 3.0 games built on blockchain technology.  With that in mind, I'd like to focus my prepared comments on 5 key areas. First, platform consolidation for greater leverage; second, ad tech excellence for yield optimization; third, AI and automation for operational efficiency; fourth, brand solutions and strategic partnerships for accelerated growth; fifth, diversified revenue streams for higher-margin performance.  So first, a reminder that this company was created through rapid M&A, so the tech and engineering needs vary tremendously according to the particular area of gaming activity. We are now building a unified technology platform to ensure that we are as agile and efficient as possible across all aspects of product development, data management and systems integration. This R&D initiative isn't only for our internal operating units, but also for our key external tech partners who are critical to ensure that we are meeting the very high expectations of our demanding gaming communities. This platform innovation becomes even more important as we embrace the future opportunities of Web3 as well as bringing maximum value of ROI for our brands and agency partners.  Second, I'd like to discuss our commitment to add tech excellence to ensure that our digital media flywheel is selling our valuable inventory programmatically to the highest possible yield. To ensure that we become the biggest independent gaming publisher network of owned and operated and external publisher sites, we need to be working with the best ad tech partners possible.  This begins with our partnership with Permutive. Permutive is a leading data management platform, who will be helping us to activate our first-party data across all of our audience cohorts in the bid stream today. We're selling today to over 25 sell-side platforms, and we're now finalizing our marquee SSP partner with whom we can create and sell unique gaming audience segments in higher-priced direct deals versus the open exchange.  We've also consolidated our ad serving partners to only Equativ and Google's GAM 360, thus streamlining our display and video ad delivery with minimum delay and maximum creative impact. There is no doubt in my mind that with our commitment to programmatic excellence, we will soon be selling omnichannel campaigns fueled by unique gaming inventory, powered by first-party data and custom content. All of these developments will enable us to significantly improve the revenue growth and profit margins for the advertising line of business in the near future while ensuring that we help our advertisers maximize the ROI of every campaign dollar they're spending with us.  Next, I'd like to talk about AI and our focus on automation. I really like what the CEO of Coca-Cola said publicly about AI after their recent earnings call. I quote, "Much has been said about AI, and it's certainly going to abate the maxim. Profound transformative technology is often overestimated in its impact in the short term and underestimated in the long term. This is going to have a profound impact, profound internally for the way our business operates, but also how we engage with consumers." He then added, "I think AI is going to make a huge impact in marketing."  Well, we're very excited about our position as the largest independent player in the gaming media and entertainment industry, not owned by a tech giant, operating a walled garden. This allows us to focus on the power of AI for the benefit of our Enthusiast communities as well as the marketeers, who are partnering with us to create winning brand activations and engaging ad campaigns. We will be testing every relevant AI tool at our disposal to improve our sales, ROI metric and user acquisition as well as the emerging creative talent identification challenge.  The fourth area to discuss is the repositioning of direct sales to brand solutions as well as the creation of a strategic partnership division. We renamed our leading growth engine brand solution to reflect the true value of our customized content, media and sponsorship integrations that our teams imagine and deliver. After 4 years of tremendous service for Enthusiast Gaming, we've promoted Amanda Rubin to EVP Brand Solutions, and she will be responsible for both brand solutions and programmatic media sales.  We have also more closely aligned customer success with brand solutions with the goal of ensuring the seamless integration of creating, pricing and packaging our brand solutions in a resource-efficient way as possible. In addition, we established a strategic partnership division to accelerate the pace with which we explore alliance opportunities with the key strategic partners involved in the gaming industry and popular culture today.  The partnership with the NFL Tuesday Night Gaming was a great case study for the types of events, promotions and partnerships we can deliver. We expect to establish meaningful partnerships with the leading game publishers, sports associations, entertainment companies and music industry leaders. And to lead this important function, we have promoted Matt Goodman to EVP Strategic Partnerships, in addition to his current responsibility for customer success.  Our content division remains a driving force for Enthusiast Gaming. So we must continue to attract the best creators, writers, producers and directors. We have developed in-house production capabilities, and with the NFL Tuesday Night Gaming preseason content in the pipeline and Luminosity's efforts to attract new talent throughout 2023, we are well positioned for growth. Our content team is working closely with the brand solutions team to create multiple content tent poles throughout the year with successful collaborations such as Nintendo juniors already under our belt.  Scotty Tidwell has been promoted to the role of EVP, Content & Creators, reflecting a strong contribution to build critical strength in this important creative area of our business. Our Q1 achievements include 311 million owned and operated views and custom content activations for major brands like Xbox, Sour Patch Kids, Carnival Cruises and many popular films. Additionally, our story talent agency has expanded its network and in a vast array of content creators, athletes and gamers to our offerings. This has increased visibility and diversified content while enabling new revenue streams.  Finally, I'd like to discuss our strategic focus on developing alternative revenue streams to better diversify our business model and lessen our reliance on the highly competitive advertising revenue. We currently enjoy our highest profit margin in subscription revenues, and we see further opportunities to charge subscriptions to access our high-value content and creator community sites. We're testing different subscription models across a number of our properties today, expecting to create preferable user engagement model to the existing ad-supported content experiences.  As evidenced by the strong demand for travel and entertainment, we believe that live events and gaming experiences of a similar high-margin revenue growth, as we experienced today with Pocket Gamer, our global B2B events business, we're investigating different live consumer events for the gaming enthusiasts to play, compete and connect across North America, especially as the highly popular annual E3 gaming expo in L.A. has been canceled for 2023. Luminosity, our esports division, is in talks with strategic partners for its multiple upcoming live game events in Toronto, New York, Miami and Mexico.  Community commerce is an area of strategic focus for many digital publishers and content creators. So we, too, are testing different products and service offerings that we believe will extend our monetization opportunities in addition for ad-supported and paid subscription business models in place today. As part of this transformation, we will continue to invest in our people and grow our culture. I passionately believe that talent and teamwork are the key building blocks of success.  My first step was to create a revised management structure, so we can invest in the best people. We recently welcomed Tara Fournier as our Chief People Officer. Tara's proven experience at Zillow, Vizio, Disney and most recently, at Amobee, where we worked closely together for the past 10 months. Tara will ensure that every aspect of the people management function, including compensation and benefits, training and development, career management, culture building and diversity and inclusion will all be managed to the highest professional standards.  Our biggest investment is in our people, and it is also our greatest strength. To better manage the complex operations of our business, we've established a broader strategic leadership team to help our talented management execute flawlessly against the most important strategic initiatives that I'll discuss with you today.  For brands, gaming is a massive opportunity that can no longer be ignored. It is arguably the best media sector for brands to connect with their current consumers whilst engaging the younger audience that they are desperate to recruit. Gaming has the scale of mass media combined with the personal engagement of social media. As more people play, compete and socialize, gaming environments will become the most priced marketing spaces.  However, advertising is only the tip of the iceberg as commerce, esports sponsorships, creator partnerships, real life and virtual merchandising, in-platform branded experiences, they all represent innovative brand activation possibilities. Enthusiast Gaming is uniquely able to operate across every level of the gaming ecosystem, enabling brands to not just tap into popular culture but to become part of it. I believe that we are capable of making Enthusiast Gaming the most dynamic, innovative and profitable, independent gaming media and entertainment company on the planet.  I'd now like to hand over to Alex to discuss the financial performance for quarter 1.
Alex Macdonald: Thank you, Nick. And thank you to all our shareholders, analysts, lending partners and other stakeholders for joining us today to discuss a great start to the year, our first quarter 2023.  During the quarter, we observed several interesting trends. We saw our traffic rise sequentially to surpass 10 billion views of content once again in Q1. We also saw the continuation of a depressed digital ad market, resulting in lower CPMs on our programmatic channels. However, despite the challenges posed by the digital ad market, our high-margin revenue streams remained resilient. In fact, we achieved several milestones as our subscription revenue reached an all-time high, and our brand solutions, formerly known as direct sales, nearly doubled year-over-year. Positive impacts of those trends, coupled with our controlled OpEx has resulted in a fantastic start to 2023 and indicate profitability inside the year. I look forward to discussing all of these items with you momentarily, but first, here are my usual notes.  I note that our results are presented in Canadian dollars. The significant majority of our revenues and expenses are measured in U.S. dollars and are translated into Canadian dollars for the presentation in our financial statements. The exchange rate between the U.S. dollar and our presentation currency of the Canadian dollar should be monitored and considered when analyzing our forecasting results. And I note that our business is affected by seasonal trends in digital advertising with sequential increases each quarter throughout the year, driven by increasing ad prices and demand, which peaks in Q4. The seasonality is isolated to our Media and Content revenue streams. Now let's get back to the financial results.  Q1 revenue was $42.9 million, which is down 9% from Q1 2022 revenue of $47.2 million. Q1 revenue by source was as follows: Media and Content, $35.5 million; Subscription, $4 million; and Esports and Entertainment, $3.4 million.  The Q1 Media and Content revenue of $35.5 million compares to $41.9 million reported in Q1 2022, a decrease of 15%. The decrease was driven by a decrease in RPM caused by lower CPMs in the programmatic markets. A decrease in video views also contributed to the decrease in Media and Content revenue. Video views were 5.8 billion, down from 7.1 billion in Q1 last year. These items were offset by strong brand solutions revenue. Brand solutions were $10 million in Q1 versus $5.2 million in Q1 of last year, a 92% increase, with the majority of these sales being recognized in Media and Content.  Q1 Subscription revenue was an all-time high of $4 million, up 18% from approximately $3.3 million in Q1 last year. This increase was largely driven by an increase in paid subscribers, which were 275,000 as at March 31, 2023, as compared to 233,000 as at March 31, 2022. The yield on a per subscriber basis was consistent year-over-year.  Q1 Esports and Entertainment revenue was $3.4 million, up 72% from $2 million in Q1 of last year. The increase in Esports and Entertainment revenue is mainly attributable to the success of the Pocket Gamer Connects London event held in January, which hosted 2,600 attendees. Last year, PGC London hosted approximately 2,000 attendees.  Gross profit increased to $16.8 million in Q1, up 24% from $13.5 million in Q1 2022. This resulted in an all-time-high gross margin of 39.1%, which is up 1,050 basis points from 28.6% in Q1 2022.  Total operating expenses were $25.2 million, up slightly from $24.8 million in Q1 of last year, but down substantially from $30.3 million in Q4. Operating expenses in Q1 include noncash items of amortization and depreciation of $3.3 million and share-based compensation of $1.1 million as well as a foreign exchange loss of $0.1 million. The decrease in OpEx on Q4 was largely in technology support, web development and content, which decreased to $5.3 million from $8.6 million in Q4. This decrease was driven by lower production costs for NFL TNG, which aired 7 episodes in Q1 as compared to 12 episodes in Q4, and the normalization of cost savings initiatives undertaken in Q3 and Q4 in our technology and content expenses. As NFL TNG has entered the off season, this decrease in technology support web development and content expense should be expected to persist through Q2, with both NFL TNG revenues and expenses picking back up again in mid-Q3 with the kickoff of season 2.  Net loss improved 21% to $8.7 million in Q1, down from $11 million in Q1 2022, resulting in a net loss per share, both basic and diluted, of $0.06 in Q1, down from $0.08 in Q1 2022.  Turning to the balance sheet. The company ended the quarter with $3.5 million in cash and, in addition, had an available operating line of $5 million for total available cash of $8.5 million as of March 31, 2023. The change in cash during the quarter was largely due to $2.6 million of cash used in operations and $1.1 million of repayments on the company's term facility.  Also during the quarter, our lender agreed to extend the maturity date of our term and operating facilities for an additional 12 months from December 31, 2023, to December 31, 2024. The term facility has been reclassified from current liabilities to long-term liabilities on the March 31 balance sheet.  Certainly, it was a great start to the year despite the seasonally slow nature of Q1. We delivered on our expectations, coming in strong on gross profit and steady in expenses. The continued margin expansion reflects the strength and effectiveness of our strategy, and we remain agile as we position for long-term success. But in the meantime, we remain on track to deliver profitability this year with a strong pipeline for the second half. This includes but isn't limited to, number one, NFL TNG Season 2, which is already in the market with a pipeline in place and kicks off in Q3; number two, platform expansions, including U.GG's expansions into VALORANT and World of Warcraft; number three, strong results from our B2B live events, which are flourishing in a post-COVID world, with our next flagship event being Helsinki in September; and number four, promising early results from the introduction of a paid user acquisition strategy in our subscription business. This pipeline will allow us to build on these already strong Q1 results and point to a promising year to come.  As Nick outlined earlier, we are looking to grow the business in a more profitable way versus chasing low-margin top line revenue. We will continue to leverage our strengths across the gaming ecosystem while also embracing innovative technologies and capturing new opportunities to drive sustainable and profitable growth.  I offer my gratitude to the analysts for their continued work on the company. I also want to thank my team for their work on the quarter, led by the VP Finance, Nathan Teal, and to all our stakeholders, thank you for your continued trust in us as custodians of Enthusiast Gaming. We are excited about the road ahead and are grateful for the dedication and hard work of our exceptional teams. It is their passion and commitment that fuels our business. And of course, ladies and gentlemen, our business is the business of gaming. Thank you.  Operator, I kindly turn it back to you.
Operator: [Operator Instructions]. Your first question comes from Griffin Boss from B. Riley FBR.
Griffin Boss: So first one, maybe for Alex, just regarding the programmatic CPMs, did you see any further deterioration in the CPMs this quarter? Or have they stabilized at those depressed levels that you mentioned in the prepared remarks?
Alex Macdonald: Thanks, Griffin. Actually, a little bit of the opposite on our pricing. I don't want to go into too much detail. Q1 was certainly a depressed market for programmatic CPMs, but I like the patterns I'm seeing. I've seen a bit more of a return to normalcy in the seasonal patterns. That's a big part of what was missing last year, the seasonal patterns fell apart. But we saw some recovery in February and March from what I've seen in the market that there is some recovery there, certainly bottomed. I think we also may be slightly outperforming the markets in our recent pricings that I'm observing.  So I believe it's at a bottom. I believe a recovery may be starting. And what is also very important to me in summary is I like the patterns I've seen, the seasonality inside the quarter, the seasonality inside the month, even the seasonality inside the week, they are predictable to me even if they're at depressed levels, which is fine because I want to see the markets return to a normal pattern, which -- because that's what was missing last year.
Griffin Boss: Got it. Appreciate that. And then -- so sticking with the programmatic theme, maybe one for Nick. I appreciate the 5 key areas that you elaborated on, that's nice to see. To the extent you can, could you give any more color on how you're thinking about the programmatic opportunity for Enthusiast in terms of maximizing the value of the first-party data that you have? I'm just curious how you're looking at the longer-term opportunities there in terms of increasing CPMs and yield optimization on your inventory, which could, I mean, potentially, I would think, support programmatic margin expansion in the future. And then, I mean, again, to the extent you can, how much of sort of a CPM lift do you think that you can realize from these initiatives?
Nicolas Brien: Well, first of all, thanks, Griffin. I really appreciate your question. The programmatic excellence initiative underway is significant. And we're pulling -- we have been pulling apart every aspect of pipes and data and partners and everything to really leverage that. And I'm convinced that with the team, that we are going to see a very solid increase in not only the amount of our inventory that we're selling to the prices we're selling for.  And again, you hinted at the -- on one of the most important areas, which is how we are integrating first-party data to ensure that our inventory is as smart as possible. Because the better the data infusions, the higher the CPMs. The higher the value, the higher we can prove it because we know that the big, programmatic buyers are all buying on all these cohorts, and they want to be choosing the inventory that is sold.  And also the other part of it is not just the fact that with cookies going away, the need to be obviously selling our inventory is to ensure that we can, therefore, leverage the data enhancement for margin improvement. So I'm not prepared to say exactly where the CPMs are going to end up because we've got a broad mix between display and video, but I am going to say that we are very, very confident and we know the model is that better data will yield better offerings, which will lead to higher CPMs.  So we are working through every element of the tech. As I said, consolidating our SSP partners. We did a big review of who is going to be our DMP partner we've chosen who we believe the right one. And now we're doing a lot of internal work across all of our owned and operated sites as well to ensure that our formats, whether they're in video or display, as excellent as they can be.  We have identified certain issues across some of our partners that we have needed to make significant changes for. The conversations we're having with Google, the introduction of Equativ in ad serving, this is all intended to ensure that our tools and our tech for ad tech optimization are the best that they can be.  And we will see continued -- as Alex said, we've already seen a continuation of the increase in CPMs. We're going to see that, and that has to be fantastic because we do have a very large audience. We do have many opportunities to monetize those audiences with the impressions and the ad units we have. So this is going to be an area that we've made quite considerable restructuring in other parts of the business, so we can be investing in this.  And I think we see -- our vision is to make sure we've got a real stairway to the stars, that our advertising strategy parts, first and foremost, with our inventory ad network as the biggest independent gaming publisher network moves from an inventory ad network to an audience ad network, so we obviously have our publisher network. And then we can identify our gaming audiences across screens, not just on our platforms, so we effectively become the Enthusiast Gaming audience network.  The next level is the data marketplace, where we have highly sophisticated, high-value gaming audience data that we commend, basically trade within the data marketplace. And then eventually, that leads to another level, which is a self-service platform. So our vision is to increase not only the community size, but the monetization opportunities that we really become a place, a platform, an integrated platform that brands can come to us seeking those omnichannel campaigns that are fueled by our unique gaming inventory and powered by unique data. Is that going to generate higher CPMs? Yes, it certainly will.
Operator: Your next question comes from Robert Young from Canaccord Genuity.
Robert Young: Maybe I'll just key on something you said at the very end of the prepared remarks, the promising early results from paid subscription. I wasn't sure what you meant there. Have you already started to roll out some new strategy or some new efforts there?
Nicolas Brien: Robert, thank you for your question. Yes, we have. We're looking at different subscription models either for user acquisition to have a subscription to access sites and content and also to do it on a monetary basis. So we have a number of tests moving at the moment. We've had where we have focused resources on increasing our subscription revenue, whether it's on existing sites, like The Sims Resource, in new areas that we're not prepared to discuss today, but we are prepared to discuss when we have the results of those tests that we're running. We're very confident that with our level of commitment and resource to this area, we're going to see a significant increase in revenue in this revenue stream. So those are underway at the moment.
Robert Young: Okay. And second question would be around gross margins, which you already highlighted, very strong, stronger than I was expecting, certainly. I think you targeted 40% gross margin in the long run and you're nearly there. So part of it, I guess, is driven by the weaker CPMs, but does that suggest that maybe there's an opportunity for even higher than 40% gross margin? Maybe if you can just talk about that and where the business can go now that you're so close to 40%.
Nicolas Brien: I think that our ambition is to ensure that we continue to drive our top line revenue, but as it should all be contributing to increasing gross margin. And we're taking certain decisions that you can see already that we've had across our video advertising part of the business with our MCM that we made certain calls where we felt that the higher revenue came at the expense of our focus on gross margin improvement. So we are at 40%. We're nearly 40% on this term. And through our continued focus on diversifying our revenue streams, we're confident that, that becomes the minimum that we're going to be delivering.  And in terms of setting targets for how it goes for the future, I need to have another quarter of our strategy, which I've only -- again, it's been early days for me here, Robert, but to be able to put that in place to demonstrate what that will look like based on all of the activations that we have underway at the moment and see how those really demonstrate, that we can go forward from 40% to where does that go? To 45%. Does it go to 46%? Does it got a 50? I need another quarter before I'm prepared to put any commitment on that to any of you.
Robert Young: Okay. That's fair. And maybe just one maybe additional question around that. The -- I mean we've been used to seeing the gross margins go up quarter over quarter over quarter with the increased direct sale and the growing subscription. And so with this big jump, should we expect to see gross margins continuing to step up quarter-over-quarter through this year? Or should we expect it to take a step back?
Nicolas Brien: Well, I'd like Alex to -- because he's been doing some more sophisticated modeling based on [indiscernible] obviously, towards the back half of the year, and we've been looking at our pipeline, of our exciting pipeline of significant high-caliber RFPs. So Alex, why don't you respond to that, please?
Alex Macdonald: No, absolutely happy to, thank you. Hey, Rob. So -- I mean, what to expect in the short term? You'll recall in my remarks, there are -- there's a new element of seasonality that will impact the margin, that's the NFL season. It's simply a timing thing, but you have season 1 ending in Q1, season 2 picking up midway through Q3. So that just introduces a bit of a short-term seasonality. There's also the dynamic of the volatility in the ad market if a recovery occurs. Of course, that may -- we would love it, but that may be dilutive.  But long run, away from that short-term volatility, this is our new reality. We are on north of a 35% margin business. We're well north of that. And as Nick has pointed out, we're after high-margin -- high-yield, high-margin revenue streams, right? We have many years of history behind us doing that and mix pushing it forward. These are our initiatives, and this is our new reality.  So I think the short answer is possibly some short-term volatility there is driven by the NFL schedule and the volatility in the digital ad market. But long term, once they go over the next few quarters, yes, this is our new reality. And yes, we want to continue to push higher from here.
Operator: [Operator Instructions]. Your next question comes from Drew McReynolds from RBC.
Drew McReynolds: Nick, just elaborating on one of the comments in your opening remarks where you said there's a shift in allocation of ad dollars where, I guess, in this environment, advertisers obviously have more limited budgets to place these dollars, and they are shifting to Gen Z and millennials. I mean directionally, not surprising to me. But how would you kind of characterize the strength of that maybe relative to what you were seeing before and maybe previous cycles? And then I'll just have a couple more.
Nicolas Brien: Yes. Thanks. Hello, Drew, and thanks for the question. I don't think it's temporary. I think that we are seeing the continued focus of brands and agencies recognizing that they are really desperate to continue to reach audiences so badly served by traditional TV, whether it be linear or cable. And I know it's come as a welcome relief for many of the advertisers that increasingly paid streaming TV and CTV options so the big streamers -- that there's increased choice for ad solutions over paid subscriptions because there's a continued challenge that many of the audiences that they're trying to reach can't be served very well by the channels that are there.  And I think it reminds me when Yahoo!, when some of the salespeople in Yahoo! were walking around 15 years ago, showing the bars of -- bar chart of audience attention so high and yet marketed dollars were so low, and that was the entire challenge of the web at that stage. And now we see that $0.80 on every dollar spent in the U.S. is spent in digital advertising, which is dominated by principally 2, now increasingly 3 with Amazon, massive digital players. And I think the promise is interesting that if you look at the ad tech results, the ad tech results that have recently been coming out led by The Trade Desk and Magnite, they're all higher and a higher performance than the walled gardens. And I think that speaks to the fact that there is still a real attractiveness for the greater web opportunities, the greater opportunity to engage with audiences where you can find them in areas that is exciting the most, and they're not necessarily dominated by the walled gardens.  What we're so excited about and what I'm personally so excited about, having been on the buying side, the agency side for over 30 years, is I'm realizing that our audiences, our communities of gamers are the most engaged audiences in the history of the planet. There is no one that has not just the scale but also the level of attention. And the level in attention economy where not only is it very hard to reach these younger and very attractive audiences, but how do you engage with them? And this is where I'm most excited that we have all the different pieces at Enthusiast Gaming because we're not just about saying, "Okay, reach them and just hit them with a banner ad or a video B-roll," we are able to integrate your brand in a much more native and authentic and creative way that allows you to truly engage and connect.  And the other thing we're doing is going to -- we're doing a lot of work on our measurement, on our metrics to make sure that we're not just selling our inventory on traditional media metrics, so reach and frequency, but we're recognizing and reevaluating our audiences and our community of highly engaged audiences that these brands want to engage. And there's a higher value for what -- who they are and how we can help those brands reach them.  So I think this is -- I don't think, I know this is continuing because I've spent a lot of time in my first 2.5 months here now talking to the leading brands and the leading CMOs and all the leaders of the big agency groups, and they are struggling traditional social media. 70%, we did an analysis of our Comscore on that month. Well, I think it was 68% of that entire community of 49 million monthly average users do not use Facebook. Their social integration is through the gaming platforms they use. So not only are these communities of scale, they are communities of intimacy of engagement in the social dynamic.  So this is a completely unique audience profile. So are they -- and by the way, that's without even Gen Alpha coming up behind them. So I'm most excited that this is -- that Enthusiast Gaming is a company that not only is in effectively the audience aggregation business, but in the context of games and site and experiences and events where this is really fueling the pattern of what gaming enthusiasts want, and then we're going to take that and monetize that in a different way. And it will not just be based on the traditional push base interactive ad model that got lifted off TV, slapped into social media and then people are thinking that, that's the best way to engage the gaming communities. It's not. And the brands are really waking up to that.  I've seen this because I'm seeing our pipeline of the RFPs, and I'm intimately involved now in all the big RFPs that are knocking on our door. And some of those brands have a high level of enthusiasm. Some have a genuine interest. Some are very focused on reaching an audience. Some see it as an opportunity for relatively inexpensive R&D and innovation in terms of Web3 and metaverse. So we've got a whole range of these different brands leaning in, and there's another fact that you said grew at the beginning, which is they can't be reached elsewhere. Or they can be reached with great difficulty in the traditional media channels. So this is -- I consider this -- as I said in my prepared remarks at the beginning of this call, I think this is the most underdeveloped area of marketing today.
Drew McReynolds: That's really excellent context. Just one follow-up maybe for you, Alex, as we just kind of level set expectations here from a modeling perspective. When you look at Media and Content and the pressure year-over-year, do you have any sense of how that just kind of plays out through Q2 and maybe over the remainder of the year, just given some of the moving parts to the extent you have that visibility?
Alex Macdonald: Sure. So -- well, the pressure certainly persists. I think that's market-wise. Even Facebook themselves, their earnings call 2, 3 weeks ago, reported they're 17% down year-over-year on CPMs. It persists. However, as I noted earlier, I'm seeing a bit more of a normalcy to the pattern. So while it may be at depressed levels, a return to the normalcy of the pattern will mean sequential increases each quarter throughout the year. Like I think I repeat at the beginning of my remarks every quarter, that typical seasonal impact. So I'm hopeful for that.  However, we are cautiously optimistic on that. But we aren't -- we're patient. We're cautiously optimistic there. Where we are impatient is on these higher-margin, higher-yield revenue streams, of course. We're not waiting for a subscription. We're not waiting to optimize to reach programmatic performance. And we're not waiting to grant solution. We're still pushing in those areas.  So I'm cautiously optimistic for the -- more for the back half of the year. It will take some time for it to recover further. But early patterns indicate a possible good back half of the year on the programmatic side.
Nicolas Brien: Drew, I just want to say one point, and I think it builds on what we said to Robert Young at the end of the conversation about the higher gross margins and where do they go. We're not going back. We're not going back. And if we have to make calls on our gross revenue on certain continued challenges we face, whether it be YouTube introduction, obviously, of a stronger language moderation or whether we're dealing with renegotiations with some of the creators on the AdSense model, on our MCN, we're going to be very choiceful and very deliberate on every dollar of revenue we're taking. And if it builds us up and it provides what is necessary for us to continue to drive a continual, consistent rolling thunder of revenue growth and increased gross margin, we will take. It, but we are not going to chase low-margin, low-value revenue for the sake of it. It has to continue to demonstrate that we're driving towards profitability.  We want to be in that situation where we have really excellent top line revenue growth, but we are on a mission. And I made it very clear to the entire leadership team, and it was made very clear to me when I was asked to join the company by the Board of Directors, this is about turning what has been a highly entrepreneurial series of individual assets operating now into an integrated platform to create sustainable, profitable performance. So I just want to reiterate that on this call today.
Operator: [Operator Instructions]. Your next question comes from Kevin from Scotiabank.
Kevin Krishnaratne: Just one from me. It might have been brought up. Just on the OpEx profile for Q2, maybe Q3, is the sort of $20 million ex amortization in SBC that we saw in Q1 sort of a good run rate to use there? I mean there might have been some NFL within that number. So just wanted to know your thoughts on how to think about the OpEx profile in the next couple of quarters.
Nicolas Brien: Thanks, Kevin. I think that's -- we appreciate the question. Alex, I'd like you to grab that one, please.
Alex Macdonald: Of course. Thank you, Nick. Hey, Kevin, yes, there were decreased NFL episodes in Q1 versus Q4, and that has further decreased. There is some off-season content for further decrease. So some savings perhaps that is as far as the profile goes. Normally, that's mostly out of advertising, promotion and then, of course, technology support, specifically the content bucket of that. However, it's not as notable as the reduction in Q4 to Q1. So we're evening out the $20 million ex those noncash items is a good proxy for a run rate.
Kevin Krishnaratne: Okay. Maybe I'll just sneak in one more. We talked a lot about CPM, RPM dynamics. Can you talk about maybe anything to note on views? You did about 10 billion in the quarter. I think you grew your total views in '22 versus '21. What are you seeing there? Can you talk about some of the dynamics with maybe YouTube Shorts and some of the -- I think, Nick, you talked about it, maybe getting out of some relationships with some creators that maybe caused a bit of a pressure Q-over-Q on the video views. Just can you help us -- maybe for modeling purposes, the video and the web views.
Nicolas Brien: Yes. Thanks, Kevin. As we said, the introduction of YouTube Shorts at the back end of quarter 4 as they sought to chase TikTok, they realized that they themselves were going to suffer from that because the level of monetization was so much lower on those views than longer-form content. And I think all creators and all channels suffered as a consequence of that.  We are -- we've got some exciting new creator agreements in the works at the moment, and we're going to see that, and we're going to see our views increasing. Alex is the one that models overall views. So we're thinking about how we have not just the amount of views, but it's worth saying that we're thinking a lot about our utilization across not just on our views, on our owned and operated sites, but also across our publisher partners. And we see very significant opportunities for how we can improve the formats to therefore drive higher pricing, but it isn't just about the views. The views is one metric of it. But what we want to do on the next quarter, on the next call is start to introduce other metrics beyond just CPMs, RPMs and views, and we'll talk to you about that next time.  Alex, do you want to give a point of view about how you modeled the views going forward?
Alex Macdonald: Yes, sure. For the time being, so we are going to introduce some new metrics, as Nick said. But for the time being, look, the total views is, as you can see, very consistent over the last 4 quarters, now cresting once again above 10 billion. There is a slight shift. You can see it's in the disclosures, the pro rata between the web page views versus video views, a slight shift towards web. But video views still sitting right now just below that 6 billion mark, web page views just above the 4 billion mark. And we aren't expecting -- we're expecting continued consistency, particularly on the total number, right, in and around that 10 billion.  The shift to video obviously monetizes at a higher rate. But in the case of the MCN, it's, of course, much lower margin. This is important inventory when it comes to brand solutions. However, as you're well aware, we are very underutilized from an inventory perspective from brand solutions, as in we have inventory coming out of our ears to sell. We haven't been selling it that long. We have a long way to go as we continue to build brand solutions, so I'm not concerned about inventory availability. But yes, so consistency for the next few quarters on the views line.
Operator: Your next question comes from Gianluca Tucci from Haywood Securities.
Gianluca Tucci: Most of my questions have been asked here, but how should we think about live events going forward? And what kind of focus will the business have on this business line? I'm just curious as to how the live events business fits into your growth plans and overall strategy here going forward.
Nicolas Brien: Well, thank you, Gianluca. And I really appreciate your question. As I said, that was very much part of one of the key and the last of the strategic focuses we have had, which is on our revenue diversification as showing that we can really go for that. Live events is -- definitely we've seen had tremendous success by having the leading B2B gaming industry events leader. They have more events. Right now, they're all in Seattle. Before you know it, they're in Helsinki, then they're in the Middle East. And the -- and we see the remarkable profitability and the level of -- engagement levels, as Alex shared with you earlier, how many more people have been attending their events so far versus last year. And we're excited.  I've got -- I'm here in New York. I've got a meeting with 2 different events, live events organizing companies, who I've worked with in the past, to really discuss how and where we will be able to create and put on some live events. And again, it's something I need to do the full cost benefit analysis against and discuss it with the Board, but we're certainly very excited about that.  And also, Luminosity. Because Luminosity isn't just 1 gaming team, we have 12 different teams operating in different areas of the gaming landscape. And they have been invited to participate and are working with many different partners about having more live gaming events.  So we're excited about it. It's not just about a post-COVID world. We see the opportunity for this to create that between the digital and the online realities of our communities to be able to meet and connect and realize. There was 1 significant -- EGLX had a live event in Toronto that was significant over a 3-day period before COVID hit and shut the whole sort of initiative down. So in a way, we're rebooting what we were doing before, but really going to look at it in a more consistent way because if we can do it on the B2B side, we can do it on the consumer side. There's no reason why.  And I just gave the example of E3 being canceled because I remember 15 years ago, when I was running Nintendo globally at 1 of my agencies, the first 3 days were the industry B2B meetings, and the next 4 days were open to the gaming community, and it was just remarkable. And there's no reason why with our breadth of communities and sites and the creatives we have within our organization, we couldn't put on absolute marquee live gaming experience and community events. So we're very excited about it.  I don't anticipate we're going to be seeing the economics of that rolling forward and certainly -- hopefully, because these things take, obviously, a long time to plan and organize, we're going to see some benefit of that in quarter 4, but this is really laying pipe. All of these situations that I've been talking about in terms of our overall strategy to continue to explore new ways to grow is really part of it. But this is one under our very noses because we've got a company in our own family that does it very, very well. We've got a very good perspective and very good context to help us think about how we can do that in the consumer general space. So you -- so we will share the news as we have something more significant to talk about, but it's more than an idea, it's part of the strategic plan.
Gianluca Tucci: Okay. That's perfect. And perhaps a question for Alex, a follow-up question. Like historically speaking, what has been a typical gross margin of a live event?
Alex Macdonald: Sure. The typical gross margins were about -- pre-COVID, they're about 50%. When we turned them in 50% growth, when we turned them into digital or hybrid digital live events, that raised the margin somewhat because, obviously, digital came with less cost. Now we are moving -- I mean, such a success in the live, we're moving back. So think in the 50% to 60% range on those events. So quite profitable, good old business and flourishing at the moment.
Operator: Thank you. As there are no further questions, this concludes our question-and-answer session and conference at this time. Thank you for attending today's presentation. You may now disconnect.